Operator: [Operator Instructions] At this time, it's my pleasure to hand over to Thomas Altmann, Senior Vice President, Corporate Investor Relations. Please go ahead.
Thomas Altmann: Thank you, Maura. Good afternoon ladies and gentlemen and welcome to the earnings call for the third quarter of 2024. On the call with me today are our CEO, Dr. Christian Kohlpaintner; and our CFO, Dr. Kristin Neumann. They will walk you through today's presentation, which is followed by a Q&A session. Our relevant documents have been published this morning on our website and can be found at brenntag.com in the Investor Relations section. In the same area, you will also find a recording of this call later today. Before we begin, allow me to point you to our Safe Harbor statement, which you will find at the end of the slide deck. With that, I will hand over to our CEO. Christian over to you.
Christian Kohlpaintner: Well, thank you, Thomas and good afternoon ladies and gentlemen. I will start with the highlights of the third quarter 2024 followed by a strategy update and Kristin will then walk you through the details of our financial performance. In the third quarter of 2024, our results were again impacted by the highly competitive environment in which industrial chemical selling prices remained under pressure. Multiple geopolitical challenges, general uncertainties, and the lack of consumer confidence keep impacting the economic development. The chemical markets we are serving experience and extended bottoming out of the industry cycle. Despite declining chemical selling prices, sales for Brenntag in the third quarter amounted to €4.1 billion, which is 1% above the prior year period. Brenntag grew its operating gross profit by 3% to finish the quarter at €1.02 billion. And our operating EBITDA amounted to €281 million, which is a decline of around 5% year-over-year. The combination of our weaker operating performance compared to last year and a stable working capital led to a free cash flow of €247 million. This is below the strong free cash flow in the prior year period, which was still characterized by a substantial release of working capital due to decline in chemical prices during the destocking side. Earnings per share stood at €0.82 compared to €1.18 in the third quarter 2023. EPS has been mainly impacted by the sale of Raj Petro Specialties in India to improve our business portfolio and on which I will comment later. On group level, volumes are continuing to show the sequential recovery as predicted. However, due to the ongoing pressure on average selling prices and the highly competitive environment, a moderate decline in gross profit per unit compared to the second quarter of 2024 materialized on group level, but was quite distinct in both divisions. At the same time, our gross profit as percentage of sales continues to expand sequentially to now 25%, which indicates that we are managing our gross profit per unit to our advantage despite the strong pressure from selling prices in the market. On a year-on-year comparison, the higher volumes could again overcompensate the lower gross profit per unit margins, but due to the higher volume-driven costs and inflationary impacts, we achieved an overall lower bottom line result. Kristin will explain the moving parts on our cost development in more detail later. Let me say a few words on the outlook for 2024. In August, we updated our EBITDA guidance for the full year and indicated a range of €1.1 billion to €1.2. Despite the ongoing challenges in the business environment and the extended bottoming out of the chemical industry cycle, but also based on our cost takeout measures and the encouraging start into Q4, we confirm our full year guidance. Before we have a more detailed look at the results for the third quarter 2024, I would like to provide an update on our Horizon 2 strategy achievements. Since the beginning of the year, we have been working intensively on the execution of our divisional strategies, which we presented to you at our Capital Market Day in 2023 last November, and we made good progress. We continue to execute the disentanglement of our two divisions in areas with the highest value creation and differentiation potential. At the same time, we are prudently managing our cost base and are executing our cost containment measures while focusing on running our business. We have reiterated frequently that Brenntag Specialties is focusing step-by-step on closing the performance gap to our pure-play specialty competitors by a combination of short-term and long-term deals. Through short-term margin management initiatives, we were already able to optimize our pricing and purchasing structures, which is visible in a sequentially improving gross profit as a percentage of sales as well as our achieved gross profit per unit. We continue our efforts in this area through longer-term measures like significantly upgrading our commercial excellence organization, having launched our Brenntag Specialties Academy and by adding necessary skills and capabilities into key positions. As further long-term levers, we continue to optimize our business portfolio in specialties in multiple dimensions at the same time. These dimensions include, firstly, our portfolio of businesses residing in specialties. Secondly, our geographical presence; thirdly, leveraging our industry segment approach and last but not least, strategically developing our supplier base and thus our product portfolio. Let me describe some of the concrete actions that we already took in these dimensions. We have already refined our business mix with the move of water treatment, finished lubricants and certain semi commodities to Brenntag Essentials. At the same time, we reviewed our geographical setup and have already carried out nine small country exits in BSP to focus on geographies where we have enough critical mass to make a difference and have highest growth potential. We continue to scrutinize our footprint to create efficiency and positive impact on our specialties results. We are also realizing first successes of our global industry segment setup by expanding existing supplier relationships into other regions, like, for instance, in our business unit Nutrition from EMEA now to North America. Furthermore, we have upgraded our strategic supplier management and we were able to score important additions to our supplier portfolio both from competitors as well as turnover businesses previously handled by suppliers in-house. In total, we have gained more than 25 new authorizations globally since the beginning of the year. As a tangible result of all these measures, we were able to improve our gross profit per unit by a mid-single digit percentage sequentially. Also the sales margin of BSP adjusted for seasonal effects continues to improve year-over-year. The year-to-date EBITA conversion rate of BSP stands now 38.4%. But let me at the same time also be very clear. Although, we are making progress in improving the performance of BSP, we cannot be satisfied with the outcomes yet. Neither the speed of progress meets our own ambition level, nor do we start to close the performance gap to our peers. We have to accelerate and step up our efforts. Full focus on improving the performance of Brenntag Specialties is key. Ladies and gentlemen in Brenntag Essentials, we are executing our so-called triple strategy, focusing particularly on our last-mile service operations, LMS, the performance sales to drive our business. We have designed now around 100 LMS Os global, which will be steered under harmonized performance framework through standard KPIs. We will increase efficiencies and reduce our network costs by consequently addressing underperforming LMS Os. We continue to optimize our global site network. In 2023, we successfully closed 29 sites. In 2024, we already closed additional 18 sites and intend to close also 29 sites in total by year-end. Further shutdown measures are in progress or in the preparation phase. Also in our Essentials business, we optimize our business portfolio. In October, we sold large petro strategies in India, a noncore asset of Brenntag to the company's shelf. Raj is a manufacturer of finished lubricants and the blender of a comprehensive range of base oils, derivatives, products with two manufacturing facilities. After entering a joint venture with Raj by acquiring 65% of the company in 2018, we decided in 2023 to simplify the ownership structure through the acquisition of the remaining stake to provide the strategic flexibility for a clean and straightforward transaction structure, which we are now realizing. On a last 12 months basis, Raj Petro Specialties generated sales of around €250 million with an EBITA margin below 1%. On top of it, the highly volatile earnings profile and the muted growth prospects led us to the conclusion to find a structurally better positioned owner. We decided to sell the business since we do not intend to run a highly volatile business with fluctuating margins and substantial manufacturing assets, which require a different focus compared to our distribution business. We are convinced that Raj can better scale its business by being part of a global and backward integrated manufacturer like Shell. The savings to an overall loss of around €63 million, which has already been incurred in Q3 for the most part, and which is recognized in special items below operating EBITA and in amortization. We also made good progress in terms of M&A on the one hand strengthening our industry segments in specialties and on the other hand setting up the toll gates which are strategic locations with deep sea port access and which are required to bring a triple strategy of essentials to life. In total, we have signed six acquisitions with an enterprise value of around €360 million year-to-date. Brenntag Specialties for example signed in Q3 and closed on October 31 the acquisition of PIC and PharmaSpecial in Brazil. The transaction expands Brenntag life science business in one of the largest global markets for personal care and pharma products. Within Brenntag Essentials we already closed two acquisitions in Q1 and signed the purchase of Quimica Delta in Mexico which we also recently closed on October 31. On top, we closed also in Q3 the acquisitions of Industrial Chemicals Corporation in North America and Monarch in the UK. Ladies and gentlemen, let me also briefly talk about our sustainability achievements. Our unique and innovative carbon emissions calculation tool called CO2Xplorer has reached the next important commercial step. We recently announced the launch of an online version for our customers in Europe. While the CO2Xplorer already has been used by Brenntag internally to provide customers with comprehensive product carbon footprint data, we now introduce CO2Xplorer demand with a new subscription service to be used directly by customers themselves. It allows companies to assess and manage their carbon footprint more effectively and calculate CO2 emissions across the entire supply chain including transportation, warehouse and package. The CO2Xplorer was recently awarded the prestigious ICIS Best Digital Innovation Award 2024. In addition, we recently announced the pioneer [ph] in stepping our ambition to make our product portfolio more sustainable. We now offer 100% sustainably produced caustic soda in the Netherlands and Belgium as the first distributor in the region. These two countries in EMEA are the first ones with more regions likely to follow. Both achievements clearly demonstrate our leadership in sustainability in our industry. We also made good progress with our digital data and access program called DiDEX and Pristine will elaborate on our achievements and our investments in these areas later. After this update on the ongoing execution of our Horizon 2 strategy, let us now look at the future strategic part of Brenntag. We have communicated our strategic way forward to move to Horizon 3 at our last Capital Market Day in November including our ambition to a stepwise disentanglement of certain parts of our company to create the full and future optionality beyond 2026. While executing our strategy and future performing various design phases, we concluded that its serves the interest of our shareholders test to focus fully on our Horizon 2 strategy and on our performance improvement cost. We will be leveraging our existing setup is one Brenntag with two differentiated divisions serving the distinct needs of our customers and suppliers supported by our lean joint services spectrum. Our decision is based on the following rationale. Firstly, Brenntag Specialties is not likely to close the performance gap to our pure-play peers before 2027. It supply partner and product portfolio stems from Brenntag’s full-line distributor legacy and has been less strategically developed towards the higher value end of the portfolio in our life science and material science segments. Although we are consequently addressing this in our Horizon 2 strategy execution has described, it is currently significantly inferior to the portfolio of our pure-play peers, which is visible in terms of gross profit growth, conversion ratios and EBITA margins, a valuation rerating is not going to materialize short-term. Secondly, a full leading and operational disentanglement will lead to a very high one-off cost on which we guided you already during our CMD at last year. Thirdly, running this synergies identified would add approximately an additional €90 million to €120 million of costs to our cost base. And lastly, we need to focus on performance improvement in both of our divisions, in light of the currently challenging market environment, driving our operating gross profit growth, lowering our underlying cost base and thus improving conversion ratios and EBITA margins. As a consequence, we are convinced that the premature split into two companies and the potential separation of Brenntag Specialties does not provide the decide value creation to our shareholders before our extensive homework is not done. Based on these priorities, we have mend our disentanglement cost as presented at the CMD last year and pursue a targeted disentanglement, while minimizing dis-synergies and one-off costs. This means we continue to disentangle the customer and supplier facing front end in our divisions, creating fully separated sales teams including now also separated global key accounts and a fully dedicated divisional supplier and sourcing management, as well as separated supply chain capabilities including service level agreements between both divisions at arm's length. We will also continue to optimize the media entity structure in areas where disentanglement can be easily achieved, creates more transparency, allows for better steering and does not create further or only minimal dis-synergies. As an example, we intend to continue with the legal entity simplification and harmonization in the United States, in China and potential in Germany. We continue to execute our small country exits, where we lack critical mass. At the same time, we maintain our strong joint backbone of last mile service operations and back-end support functions to harvest a maximum amount of synergies. Consequently, our initial one-off cost assumptions for the disentanglement and the achievement of our cost-out measures will be significantly lower, moving from €450 million to €650 million to around €300 million. With more than two-thirds are signed to accomplish our ambitious cost out target, which Kristin will allude to now in the following section. She will provide insights into our strategic cost out initiatives, before a review of our financial performance in the third quarter. Kristin.
Kristin Neumann: Thank you, Christian. And also from my side a warm welcome to everyone on this call. Before talking about our strategic cost containment measures I would like to quickly look at our historic cost development to provide some context. We are fully aware, that our operating expenses increased significantly since 2020. Looking at the development in more detail, however, one can see that the main contributors have been additional costs from acquired companies and our investments in DiDEX, IT and other strategically relevant areas. Here we also added necessary skills and capabilities which usually also come at higher average salary levels. Furthermore, as a single cost category, our personnel expenses are a relevant factor. Personnel expenses make up around 60% of our total cost base and our function of overall head count and wages plus variable compensation. Looking at the right-hand side of the slide you can see that our head count measures which we initiated in the context of Project Brenntag are clearly visible in the organic head count development since 2019. Since 2020, you can see that the total increase is purely M&A driven. And we actually further reduced head count by 690 FTEs organically from 2020 to 2023, despite the fact that we invested in core group functions like compliance, audit and IT. Therefore the development of our personnel expenses is mainly driven by wage inflation. Other operating expenses increased due to general inflation across various items like transportation, logistics and energy. With the cost containment program which we announced at our Caption Markets Day, we therefore address the increases in personnel expenses and other operating expenses. Let us take a closer look at the progress of our cost container program. A program is in execution since the start of the year, and is already contributing positively to our underlying cost development, as we have shown to you during our Q1 and Q2 results presentation. For 2024, we target savings of around €50 million to €60 million. Looking at 2025, the targeted cost-out impact is roughly double the amount of 2024. And we have a clear plan to achieve the communicated €300 million annual cost out effect by 2027, compared to our base year 2023. The planned measures will be further detailed and implemented across various areas of our company like supply chain and Last Mile Service operations, finance HR and IT. This requires our full focus and dedication. Brenntag keeps driving its way to become a stronger data and technology-driven company and for this purpose also joined forces with unknown strategic partners like Workday, Salesforce [indiscernible]. Our direct initiatives are well on track and we are confident to deliver the intended impact within our planned timeframe, under 2027. The one-time costs to implement our initiatives are generally more front-end loaded and will gradually reduce overtime. For 2024, we plan to spend around €100 million for DiDEX. This includes one-time spend as well as running costs. The benefits are gradually increasing overtime with a stronger impact towards the end of the project phase as soon as all measures are implemented. The planned efficiency gains and cost savings are included in the €300 million number, related to our cost-out program, which are presented. Naturally, in the starting years, the cost to implement our DiDEX initiatives outweigh the benefits. Our achievements so far includes, among others, the further successful rollout of our digital sales channel Brenntag Connect, the further rollout of our customer growth engine as well as first use cases for our digital demand forecasting and the further expansion of our partnership with Salesforce, where we are besides the further rollout, also testing a suite of autonomous AI agents to support and simplify tasks and customer services. With this, I would like to switch to our financial performance in the third quarter 2024. I will start with the development of our operating EBITA on group level. As a reminder, we're talking about growth rates, we generally talk about FX adjusted rates. In addition, please be aware that in Q3, we carried out further product allocation and portfolio measures as well as more country exits in our Specialties division. For this reason, Q3 figures contain certain onetime true-ups and on a sequential basis. Our divisional Q3 results are difficult to compare to our reported Q2 numbers. We adjusted our prior year figures for those effects to create comparability. In the third quarter of 2023, we reported an operating EBITA of €303 million. The translational foreign exchange effect in the third quarter of 2024 had a negative impact of €7 million. Our acquisitions contributed €6 million to the operating EBITA development. The acquisition of Química Delta was closed on October 31 and thus the M&A contribution is not included in our Q3 results. In the third quarter of 2024, we reported an operating EBITA of €281 million for the whole group, which is 5% below the prior year's figure. Organically, operating EBITA declined by €21 million compared to the third quarter last year. The EBITA conversion ratio for the group came in at 28% compared to a conversion ratio of 30% in the prior year period. Our results were overall characterized by a continuously challenging market environment and intense competition, which put pressure on industrial chemical selling prices. As expected, volumes were higher compared to Q3 2023. These higher volumes were again able to overcompensate the lower gross profit per unit. However, in combination with higher costs, this led to a lower overall bottom line results year-over-year. On a sequential basis, volumes further improved in Q3, as indicated in our last results call. At the same time, gross profit per unit came down moderately due to the ongoing challenges in the industrial chemical markets. Let us now have a look at our two divisions, starting with Brenntag Specialties. Brenntag Specialties reported an operating gross profit of €301 million, which is an increase of around 3% compared to last year. Gross profit margin in relation to sales stood at 24%, which was slightly higher compared to the prior year period. The results were affected by a slightly higher volume in combination, with an also slightly higher gross profit per unit, compared to the prior year period. Operating expenses for Brenntag Specialties increased year-over-year, partly driven by M&A. On a mechanic basis, an increase was mainly driven by higher transportation costs and personnel expenses, as well as the internal allocation of further costs in connection with our direct initiatives. These are costs from prior years, which had previously remained in group and regional services or formerly known, as all other segments and were charged on this year in various digital products, meant into operation. As a result, operating EBITA declined by 4% and reached €120 million. The segment Life Science reported, a year-on-year EBITDA decline of 3%, whereas the operating EBITA in Material Science signed, increased by 21%. The EBITA conversion ratio for Brenntag Specialties was 40% and below the prior year level of 43%. Let us have a look, at the gross profit performance of the segments and business units. All business units in the Life Science segment, except pharma, positive operating gross profit development year-over-year, which is mainly driven by higher gross profit per unit generation. In Nutrition, we saw a positive operating gross profit development in EMEA and APAC, but also ongoing price pressure particularly for base and agricultural [ph]. Beauty and care was again, the strongest business unit with operating gross profit growth, mainly coming from APAC and driven by both organic and M&A contribution. Pharma showed a solid operating gross profit performance, but was not fully able to repeat the strong prior year results. The operating gross profit in material signs was higher compared to the relatively weak Q3 2023, partly impacted by M&A. We also saw a continuation of the positive development in case and construction, where EMEA remained strong, APAC improved and North America remained stable. When looking at the performance of Brenntag Specialties on a sequential basis, so compared to the second quarter 2024, we saw a slightly decrease in volumes and an increase in gross profit pay unit, in light of our various margin initiatives, which Christian highlighted in the strategy section. Coming to the performance of Brenntag Essentials. Brenntag Essentials, supported an operating gross profit of €718 million, which is also 3% above the prior year result. The gross profit margin in relation to sales stood at 26%, which is slightly higher compared to the prior year period. All our segments in Brenntag Essentials, achieved a positive volume development. North America, EMEA and APAC even achieved double-digit volume growth compared to last year. This volume development was able to offset lower gross profit per unit in EMEA and North America, leading to an increase in absolute gross profit in these segments and for the division. Operating expenses for Brenntag Essentials increased year-over-year, partly driven by M&A. On an organic basis, the increase was mainly driven by volume-related increases in transportation costs, higher personnel expenses and the internal allocation of further costs in connection with our direct initiative. These are costs from prior years which had previously remained in group and regional services are formerly known as all other segments and were charged on this year in various digital products went into operation. Operating EBITA of Brenntag Essentials stood at €186 million, this is 10% below Q3 last quarter -- last year. The EBITA conversion ratio for the division came in at around 26% compared to 30% in the third quarter 2023. Let me briefly comment on the performance of Brenntag Essentials on a sequential basis compared to the second quarter 2024. On the one hand, we saw an increase in volumes in all our segments. On the other hand, the sustained pressure on industrial chemicals selling prices led to lower gross profit per unit in most regions compared to Q2 2024. Moving to Slide 13 where we look at the income statement in more detail. We generated sales of €4.1 billion, an increase of 1%. Our operating gross profit stood at €1 billion, an increased by 3% compared to last year. Sequentially, we were also able to expand our gross profit over sales margin, which indicates that we are managing our gross profit per unit to our advantage despite the heavy pressure on selling prices in the market. Operating expenses excluding special items increased moderately and stood at €648 million in Q3. I will talk about our cost development in more detail in a minute, but let us first continue with the income statement. We reported an operating EBITA of €281 million in the third quarter 2024. Special items below operating EBITA had a negative impact of €58 million. This includes a negative effect of €42 million from the initiated sale of a Raj Petro Specialties in India, which is related to valuation allowances on property, plant and equipment and net working capital. It also includes cost for our strategic project in the amount of €40 million, which is mainly related to restructuring costs and further provisions for legal risk mainly arising from the sale of talc and similar products in North America in the amount of €10 million. Depreciation and amortization amounted to €160 million and were higher compared to last year. The increase in depreciation is partly driven by our Solventis acquisition, which we closed in June this year and the increase in amortization is mainly driven by the sale of Raj Petro Specialties and an associated impairment of intangible assets of around €10 million. Net finance costs stood at €48 million. The increase compared to the third quarter 2023 mainly driven by higher net financial liabilities. You can see that our tax rate in Q3 is considerably lower compared to last year. This is due to internal legal entity optimization measures, where we merged certain companies to make better use of German trade tax losses and interest carryforward, which reduces our expected tax rate for the year. This adjustment of the effective tax rate for the full year 2024 has been booked in Q3 and is now also reflected in our tax rate guidance for 2024, which now stands at 26% to 28%. Our performance translated into a profit after tax of €120 million and earnings per share of €0.82. This compares to the prior year profit after tax of €178 million and earnings per share of €1.18 last year. To provide more clarity on the development of our operating expenses, we show an OpEx bridge on Slide 14. The third quarter 2023, we reported operating expenses of €620 million. The translational foreign exchange effect in Q3 2024 had a positive impact of around €5million. Operating expenses increased by around €50 million, mainly driven by additional costs from acquired companies. Our underlying cost increased by around €20 million. This is mainly related to higher personnel expenses, driven by the inflation. Furthermore, both ordinary expenses and other operating expenses increased due to higher volumes compared to the prior year period. In addition, the prior year cost base is impacted by the release of bonus accruals, which followed a different seasonal pattern. This year the adjustment of bonus accruals were more upfront loaded reflecting the performance of the business. At the same time, our cost containment measures are well on track counterbalancing the underlying increases with positive impact on our P&L in the amount of around €15 million. As a result, operating expenses for the group stood at €648 million at the end of Q3 2024. On a sequential basis, we were able to keep our organic costs more or less stable despite volume-driven cost increases in Q3 and despite lower barrier bonus provisions in Q2. As a result of our cost containment measures, we were able to reduce underlying organic expenses by around €10 million. We will continue to focus on our cost development with strict discipline. Switching to Page 15. In Q3, 2024, we generated a free cash flow of €247 million. This is below the high number of €442 million last year. The decline in free cash flow generation is partly driven by lower operating performance and more or less stable working capital, whereas we reported a strong inflow from working capital release last year. Our working capital turnover was higher compared to last year and stood at 7.7 times. The increase reflects our initiatives to manage our working capital effectively compared to the prior year period. Looking at our balance sheet. Our net financial liabilities amounted to €2.7 billion at the end of the third quarter. The increase compared to end of December 2023 is primarily driven by our annual dividend payment in Q2, as well as the cash outflow for acquisitions in particular Solventis. In addition, these liabilities were higher compared to the end of last year, also partly driven by Solventis. Our leverage ratio net debt to operating EBITDA stood at 1.8 times. And with this, I would like to hand back to Christian to talk about the outlook for 2024.
Christian Kohlpaintner: Yes. So thank you, Kristin. Ladies and gentlemen, for the remainder of 2024, we continue to expect a challenging business environment. The ongoing tend geopolitical situation and the slowly softening inflation will continue to create uncertainty about growth expectations of the global economy. The overall market trends and chemical dusty expectations observed indicate that markets will remain highly competitive with sustained pressure on industrial chemical selling prices, driven by oversupply in certain end markets and subdued demand. Despite the ongoing challenges in the extended open out of the chemical cycle, but based on our cost takeout measures and an encouraging start into Q4, we confirm our guidance of operating EBITA for the full year 2024 to be in the range of €1.1 billion to €1.2 billion. Ladies and gentlemen I just once again look at our strategic path forward and quickly recap what we have presented to you today. It cannot be satisfied where we are and we need to step up our efforts further. Performance improvement is key. Focus needs to be on price and margin management, on our portfolio optimization, on the cost takeout, and focus on executing our Horizon 2 strategy. We minimize carve-out costs and dissynergies by a targeted disentanglement. We will update you on our progress in the various dimensions with our regular earnings outlook. With this, I would like to close the presentation now and thank all of you for participating in today's call and we look forward to your questions. Thank you.
Operator: We will now begin the question-and-answer session. [Operator Instructions] The first question is from Suhasini Varanasi from Goldman Sachs. Please go ahead.
Suhasini Varanasi: Hi, good afternoon. Thank you for taking my questions. I have two please. You've confirmed the guidance for the year which is €1.1 billion to €1.2 billion. But given where we are in the year in terms of year-to-date profit, do you think it's more reasonable for the market to be looking at the lower end of the range rather than the upper end? And my second question is on the legal separation of Essentials and Specialties. You discussed this obviously in the Capital Markets Day last year. And now it's more focused on the front end with the joint back end. Can you give more color on what has changed in the recent months to drive the decision that you've talked about today. Specifically what is preventing you from bridging the performance gap to the pure pay peers? Is it because you are not able to get the supplier relationships for key Specialty Ingredients? Thank you.
Christian Kohlpaintner: Yes, Suhasini. Thanks a lot for the questions. Again we have given in August the bandwidth of our earnings with €1.1 billion €1.2 billion and again what we see from our performance what we see currently as Q4 has started, may we also take into account our cost takeout measures. We are confident that we are moving in the same direction as consensus is right now in the market. So, on that perspective, we control the guidance band we have given you a couple of months ago. On the legal separation on BSP and Essentials, yes I mean we have been discussing around the full separation of the SMB Specialties. And you asked about the reasons why we believe Brenntag Specialties is not able to fully close the performance gap. On the legal entity separation, I think it is important that we do the legal entity simplification and separation on those jurisdictions where this is very important also for the future. This is particularly United States, where we have a better, very heterogeneous legal entity setup, and we need to simplify this no matter what so independent from actually the disentanglement of those two divisions. Same is true in China. In China, we are now looking into the disentanglement and have taken the decisions to have that disentanglement between Specialties and Essentials. And currently, we are evaluating what that means also for Germany. And the legal entity separation also means sometimes that you avoid a necessary separation because, let's say, one country is exited by one of the divisions, then you are left with one legal entity. So there is no need to create disentanglement costs and carve-out costs for that specific country because you have exited from one or the other division. Now what's hindering us for closing the performance gap is, as I have described it in my call and also many interactions with our investor base, it is we need to recognize that our specialties business and how it has been developed under a full-line distributor model is inferior to the supplier and product portfolio we are selling. This is a very long-term measure, which we need to take and which we cannot fix overnight. We make very good progress now, but we also have to recognize that the portfolio quality and the difference it has to our pure-play competitors is of a dimension and, I would say, of a type, which brought us to the conclusion that this cannot be easily done before the year 2027, and we need to just recognize that. There's a lot of homework to be done. There's a lot of work in fixing that, and this is where we want to focus on and also focusing on the performance improvement, which is key, as we have said, plus the cost takeout. So it's a multiple reason why we come to that conclusion and why we have taken that decision to prioritize performance and cost takeout and margin management at this moment.
Suhasini Varanasi: Thank you. Just as a quick follow-up. You said you were comfortable with where consensus is. I think Vara consensus is at €1,140 million of EBITDA for the year. Is that the number that you're referencing when you said you were comfortable with where consensus is?
Christian Kohlpaintner: I think our consensus number is similar to that. So yes.
Suhasini Varanasi: Thank you.
Operator: The next question is from Isha Sharma from Stifel. Please go ahead.
Isha Sharma: Hi. Good afternoon. Thank you for the presentation. And especially the slide on OpEx. Could we spend a little bit of time there? If we think of the bridge from 2020 to 2023, what I missed there is the benefits from Project Brenntag, which should be around €180 million that you have highlighted in the past? And then if we think about the bridge going forward, is it fair to say that in 2025, the net impact is still quite minimal and then you will see a bigger impact going forward? Because when you introduced the DAX program, we knew that the one-off costs were €350 million. You've already spent €160 million, another €100 million in 2024 and then the benefits were supposed to be €200 million. And then related to that, the cost that you incur on the separation, is the benefit only the remaining €100 million from the €300 million? Sorry, it's probably a very detailed question, but I'm just trying to understand how we should think of the bridge from 2024 to, let's say, the next two years. Thank you.
Kristin Neumann: Hi, Isha. I'm not sure if I have 100% understood all the questions in one. So first of all, I understood that you wanted to see the Project Brenntag impact separately in the bridge. So we have not disclosed that separately, because we started already in 2019 and decided that we will put that into the development of our single cost bucket. But the impact of Project Brenntag is clearly there and is visible in personnel expenses and also other operating expenses. I think we also disclosed that separately always with our quarterly update during that time. So then I understood that the separation costs. And here I'm not very sure if that is the right -- what I have understood here. But I understood that you wanted to understand the €300 million cost out benefit if that includes the separation benefits. So the separation benefit was never included in any of the numbers, because we have not come up with a separate set of numbers for the two companies. But again I'm not sure if I understood your question correctly. And then you also referred to the number to achieve the cost out, which is also by coincidence €300 million. And there we have €300 million to achieve the cost out majorly and there are some other project costs behind, which then was up to the €300 million. There are two different €300 million buckets maybe to clarify that. And then the last question was the DiDEX program. You said that the benefit in 2025 will be maybe not that big, and that is correct if you assume in that way. I hope that I have covered everything rightly.
Isha Sharma: Yes, you did get it right. The €300 million there are two buckets of the same number, sorry, so you are spending €300 million of separation, but we don't have any related benefit so far outlined by you. So we don't have any numbers that we can take on a benefit. But the €350 million that you are spending on DiDEX, should eventually get up to 300, or as I remember correctly, or the €200 million that you highlighted in 2023?
Kristin Neumann: So I think we have two different €300 million numbers. The first one is the update on our cost out and cost to achieve the separation number that used to be over €450 million to €650 million that has been reduced to €300 million. And the majority of the costs here behind is the money to achieve the restructuring the cost out of €300 million. The DiDEX spend, the DiDEX one-off costs and investments are split across several years and there is no change and they are also included in our normal operating EBITA, which is different from the cost out to achieve the restructuring and the project of the separation, which is not the €300 million. I hope that clarifies.
Isha Sharma: Okay. So net-net you're spending €650 million one-off cost and the benefits that we know of so far are €300 million that should be achieved by 2027 with no meaningful improvement in 2025?
Kristin Neumann: No. So in the capital markets, we guided you that in order to achieve our cost out program of €300 million and in order to achieve the legal and operations is entanglement, which was also impacted by a lot of tax expenses and tax leakage this number used to be €450 million to €650 million. This is now reduced to a number of €300 million very small amount in there for the cost to separate the two divisions and the majority, the vast majority more than two-third are related to the cost out in order to achieve the €300 million. I hope that clarifies now.
Isha Sharma: Yeah. Thank you so much.
Operator: The next question is from Annelies Vermeulen from Morgan Stanley. Please go ahead.
Annelies Vermeulen: Hi. Good afternoon I have three questions, please. So firstly just on the EPS in Q3. You had some additional cost items in Q2 and now again, losses on disposals. Are there any other items or potential disposals that may incur further losses that might impact your EPS in 2025, beyond the restructuring costs you've already announced. I'm just wondering, where we might see downside surprise on EPS again next year? And then secondly, just on Pharma, which you called out as still seeing some areas of still being weakness similar to your peer group, are you seeing any initial signs of improvement? And do you think that, that's an area that will pick up in 2025? And then just lastly on the Essentials side, I think you said you're closing 29 in total this year. Are you planning to close further sites in 2025? Thank you.
Christian Kohlpaintner: Hey Annelies, thanks for a three questions. The EPS question will be answered by Kristin. On the Pharma topic here, in the Pharma weakness, we have observed this relative to previous year where we had a pretty good performance on Pharma. So we don't expect that weakness to continue into 2025. We actually expect an up-tick here in the performance of Pharma for 2025 in line with our expectations. On the BES, yes, there were 29 sites in 2023. It is eventually expected to have 29 sites for 2024 so it's pure coincidence. And a little bit more shutdowns were evaluated and developed. So it's a multiyear program which we are currently assessing and that you can also count on that there will be further side optimizations coming also from the implementation of our last month service organization. The EPS question I refer now to Kristin, to shed some of that on this one.
Kristin Neumann: Annelies, yes, you are right. The major impact on the EPS in Q3 is the loss out of the sale of Ruch. Next year we will continue with our portfolio optimization. And we will look into it if all our legal entities and all our subsidiaries really create value here. However, for the time being we are not aware of any further impact of -- on our EPS. And of course this is everything we want to avoid going forward in the future. However the portfolio optimization and also looking through our portfolio, that will continue.
Annelies Vermeulen: Okay. Thank you very much.
Operator: The next question is from Himanshu Agarwal from Bank of America. Please go ahead.
Himanshu Agarwal: Hi. Thank you for taking my questions. I wanted to start with the disentanglement. I see so today you have changed the strategy, now looking at more of a partial disentanglement. Can you please help us understand, what is the benefit of this partial disentanglement why not just maintain this data score? And also, given you are doing this is separation of the two divisions, making them independent completely off the table, or you might pursue it after 2027. Continuing with that on the one-off cost of €300 million, which you have now reduced from €450 million to €650 million earlier. If I remember right you mentioned majority of the €450 million to €650 million was related to tax leakage. But now that tax leakage is not there anymore. So I thought this €300 million number probably is a bit higher than I would have expected lower one-off costs. So and then another question I have is on the exit rates into Q4, you have talked about increasing start to Q4. Can you help us with how the gross profit per unit is trending in the Essentials division at the beginning of Q4? Thank you.
Christian Kohlpaintner: Yeah. Thanks so much for the question. The runoff costs on the €300 million, Kristin will answer. On the disentanglement, again, I think it is very important to understand that this does not mean that we are not interested in, or not continuing our path to make the both divisions more and more independent from each other as I've said in our own supply chain segment, which we are developing the service level agreements and not building the capabilities in both divisions in Specialties going forward. The disentanglement is at this moment clearly focused on where we make a difference in the market. Again, the whole story around extensions and specialties was created just to reflect, exactly what has happened around us in the chemical industry. The separation into industrial chemical and specialties players which we are serving and reflecting that. So we are clearly focused and determined to have the disentanglement pushed forward as we have done so in the past. So that is not a change on the course. And it's also not a change from the cost that we still believe that, there is at a certain point of time, a value creation part for specialties, but we need to fix first the homework and we need to do our homework. And this is improving the portfolio quality of specialties and being ready to compete with our curated specialties players on the relevant levels. So it's not at all off the chart. It is just focusing on what is now important at this moment. This is performance management, price management and cost takeout. On this third question on the exit rate in Q4, as I said, we had an encouraging start into Q4, with our businesses actually both divisions. And what we currently see is that, the gross profit per unit is not really under pressure. So it's continuing on the level we have seen in Q4. Now, we see how November and December plays out. But at this moment, despite the still chemical prices are falling. We are able to maintain the gross profit per unit reasonably well. Again, likely to stick to both divisions, but the strongest pressure we see at this moment still in essentials no surprise because again chemical prices are still under pressure and that is also reflective of how well we can manage actually our margins staying forward percentage drive of sales that you saw that we have good progression and that means that we actually overcompensate the falling chemical prices, and can create sales margin also in both divisions. I hand over for the third question on the one-off costs to Kristin.
Kristin Neumann: Hi, Himanshu. Coming back to the €450 million to €650 million. So in the Capital Markets Day, we announced that the majority of that spend is roughly two-thirds, is allocated to the separation and the disentanglement efforts. Out of that, we said that the majority is tax leakage and tax expenses. However, the remainder part also at that time was linked to our cost-out measures, which we already announced also in the Capital Markets Day. And therefore, we have now a reduced number and the reduction really comes from the not continued legal disentanglement and also the linked tax leakage is not there anymore. However, there are some operational costs, some project costs and the majority is then the cost for the cost to achieve the cost out. I think -- I hope that clarifies.
Himanshu Agarwal: Yes. Thank you. Just a quick follow-up on the exit rates. I believe, you mentioned, that the gross profit per unit is trending more or less stable sequentially Q4 versus Q3. Then the encouraging start, is it more related to the volume development? Thank you,
Christian Kohlpaintner: Yes, I think, it's fair to say, that we see at this moment, a stable gross profit per ton environment. And then it's a volume-driven topic, at this moment. And the volume achievement, as we have it have materialized. I have to say clearly, if we do expect second half volume-wise stronger than the first half of 2024, which is happening as we speak. And we also said that 2024, volumes will be better than 2023 volumes. So I think the volume part of the situation, we can pretty well steer and drive and foresee and the only moving part is gross profit per unit, but what we have seen in October ,we are able to manage that quite stable compared to the previous quarter. I hope I answer the third question.
Operator: The next question comes from Alex Stewart from Barclays. Please go ahead.
Q – Alex Stewart: Hello. Good afternoon. Thank you for taking my questions and thank you for the discussion [indiscernible]. First question to follow up on the previous one. You reported your second quarter in mid-August, so approximately the same number of week, through the quarter. And at the time, you were talking about gross profit per unit stabilizing quarter-on-quarter, and half on half. And it looks like the reality was somewhat worse, particularly in Essentials, which is understandable given the chemical market. But you're making the same comment now in mid-October, sorry, mid-November, about the fourth quarter. What's the risk here that actually when we come to see the quarter out, the gross profit per unit is down again at a group level driven by Essentials. And I'm just interested to know, how confident you are that that has now stabilized at a group level? The second question is, we came into this year thinking the numbers were going to be a bit better than they were actually a lot of other chemical companies. Could you tell me to what extent --maybe this a question for you Kristin, to what extent you would provide bonuses in the first half that may now be released, as the year draws to close? Any sort of guide on the impact in the fourth quarter, would be very helpful. Thank you so much.
Christian Kohlpaintner: Okay. Thank you so much. Let me start with the statement that the market dynamics is currently quite dynamic as you can imagine what we certainly also hear from other participants dividend industrial chemicals market being both manufacturers and distributors. So that market dynamic is quite, quite intense and there's strong competition. The only thing I can say is that while we are moving mid to October, we saw that actually what we've sometimes seen in the beginning of the quarter that you have some negative impact on the gross profit per ton was in this month not as strong as you would have expected. And that gives us pretty good confidence that gross profit per ton as usually creeps up during the quarter month-by-month that this is coming out and ending out at the same level as that gives us the confidence here that this is on a good trajectory. Nevertheless, as I said, the market dynamic is extremely strong particularly on the commodity side of the business and -- which sometimes is not always clearly visible the gross profit per ton will be. Also we see good progress in specialties. I think we have mentioned it. We saw a nice progression on Q2 into Q3 will be gross profit per unit on specialties. You see also on encouraging science that this is also continuing into Q4. So I think we are here on a good track when we talk about gross profit per unit and specialties relative to Essentials. But it's clear the uncertainty in Essentials in particular around the market dynamics, which we see towards the end now. And so let's see how that plays out. On the bonus topic, I think, I hand it over to Kristin the question can give you some granularity.
Kristin Neumann : Hi, Alex. So, we started already not to accrue for not to the 100% extent for bonuses at the beginning of the year. As you might remember, we always commented already that we have a benefit also from lower variable packs sitting into our numbers. Of course, it's not the case that all people are linked to the good achievements. There are different bonus themes also being bound to the performance on country or regional and divisional level. So, therefore this is always a little bit of a moving number really according to the performance and the outlook we see. However, I do not see that there is a big release of accruals during Q4, because we did that already during the year, which was a little bit different last year, where at the beginning of the year we had already hedged all the bonus provisions in place also due to better forecast for the entire year in 2023. But, of course, there are always movements, because we also had several KPIs for reasons also the working capital. It's not all EBITA group driven. I hope that answers the question.
Alex Stewart : It does. Thank you.
Operator: The next question is from Chetan Udeshi from JPMorgan. Please go ahead.
Chetan Udeshi: Yes. Hi. Thank you for taking my questions. I think the first question just going back to your full year guidance. And sorry, if I'm a bit straight here, but it seems we've seen this trend that there is a bit of optimism next quarter is better and we see disappointment. And I think now you're guiding to Q4 even higher than Q3 which is not even the normal seasonality. So, I'm just curious when I think about your Q4 implied guide of €300 million versus €280 million in Q3 on EBITA. Like what is baked into that? You said gross profit per unit flat volumes usually are down. So, is there a big €20 million, €30 million cost benefit M&A benefit included in Q4, which is helping you achieve the guidance because I'm still very, very puzzled how Q4 can be €300 million given you did €280 million in Q3? The second question is just a simple one. you've had some provisions on litigation. You had a fire related provisions. Last year you have some cost out on separation. Do you have a sense of how much will be total one-off cash out in 2025 associated with all these provisions and also the ongoing separation and restructuring costs? Because I guess some of them were provisioned this year but have not yet been cashed out. So, I'm just curious how much will be the total cash out in 2025 if you have that number?
Christian Kohlpaintner: Thank you and I think Kristin will take over that question on the full year guidance. and also on the provisions and what we expect this cash out going forward.
Kristin Neumann: So, Chetan, first of all, the cash out for next year. So, first of all, I believe provisions are for the time being, no cash out. So, it's really the majority is provisions. If we look at the overall spend for next year, so we have not finalized our budget yet. However, out of the coming €300 million number, we probably will see a three-digit number, a very low three-digit number coming in next year -- high two-digit, low three-digit number around €100 million, that's our current plan. However, we need to finalize our budget and we will guide you as always at the beginning of next year on that. Then on the full year guidance so we have, of course, our cost-out program which should have a higher impact in the fourth quarter compared to the third quarter. I indicated that €15 million impact for Q3 we intend to roughly double that in the fourth quarter. So, that should help. [Technical Difficulty]
Operator: This is the operator. We're receiving a bad audio from the speaker line. Ladies and gentlemen, please hold the line, the conference will continue shortly. The speaker line is now back.
Kristin Neumann: Can you hear us again?
Operator: We can hear you loud and clear. Thank you.
Kristin Neumann: Okay. I'm not sure how we got locked in the call so maybe I just summarize again, what I just said. So for next year, we expect to have roughly €100 million additional costs from the €300 million I just mentioned. Also I added that the legal costs are for the timing of cash out but more provisions. And then I also explained a little bit more the element of the guidance because the cost out side, we saw some encouraging weeks in October. That is the first element. Then we have our cost out program – and I indicated that in the third quarter, we saw a positive impact out of the cost out program of roughly €15 million. I expect that to double in the fourth quarter. And then on top we have a stronger dollar currency, which always helps us. And the fourth element is of our acquisitions. And you heard us saying that we had a closing at the end of October with relatively big acquisition we did in Mexico. So those elements brought us to the guidance. And Christian indicated, it's also it's more the lower range of the ventures, it's not the midpoint of the 1100 to 1200, as already also indicated by the way in August.
Chetan Udeshi: Thank you.
Operator: [Operator Instructions] The next question is a follow-up question from Suhasini Varanasi from Goldman Sachs. Please go ahead.
Suhasini Varanasi: Hi. Thank you. I just had a few follow-up questions, please. Given the US election outcome, can you discuss how much of your US sourcing of chemicals is local versus shipped from outside? The second one is on the volume-driven costs affecting profits. I just wanted to understand, why there's no increase in pricing and improvement in gross margin to help offset that. You previously talked about the lack of transparency in pricing at the local level. So, just wanted to understand if the market has suddenly become extra competitive at the local level. And the last one is on the tax rate please. You've talked about the changes in the tax rate for this year. Is this something that can be sustained into next year as well? Thank you.
Christian Kohlpaintner: So, sorry. We have a technical issue here. I don't know what is causing that. I don't know we have an echo here. I'm not sure whether we got all question. Let me hope I can answer them. And if not please repeat the questions which are not answered. On the U.S. election outcome, I've been asked the question this morning also by journalists. I will say it's neutral to slightly positive. We believe that we will see benefits in our U.S. business, which is a vast majority, of course, sourced locally. So that's about the extent I mean, we need to dig out the number, but Thomas can provide this to you, I'm sure. Then I understood the question around the tax rate. And then I would like to ask Kristin to answer the tax rate. And then we lost one question. You might repeat it. Thank you.
Suhasini Varanasi: No, of course. Yes. This question was on the volume-driven costs which resulted in margins coming down in this quarter and year-to-date, despite your organic -- despite the gross profit rising year-over-year. Just wanted to understand whether there was a lack of pricing control why you haven't managed to improve pricing. So if you go back to '08, '09 crisis for example, your gross margin increased by 300 basis points. And that helped offset some of the cost increase and therefore you were able to generate stable EBITDA and stable EBIT. Just wanted to get a sense of whether the competition has increased so much that you don't have that much control on pricing and therefore the increase in SG&A is hitting your profit even though your gross profit has returned to growth?
Kristin Neumann: Let me please, I will take the tax question first. So you saw our guidance. The guidance for the full year is now 26% to 28%. The legal entity reorganization in Germany had two impacts. The first one being a one-off impact and the second one will be a permanent impact. So that means we will not keep the full benefit on a recurring in a recurring way but only part of that. So what we see right now and also again here you're just working on our budget, we see that the tax rate will be at around 28-ish for next year again, but let us come with the details once we have going through the whole exercise. However, it will be in the normal rate again, it's not as high as indicated before in the latest guidance, which we now reduced. I hope that's clarified.
Suhasini Varanasi: Yes, thank you.
Christian Kohlpaintner: And let me try to ask the second question on the volume-driven cost. I mean our -- as we have described during the year, we expect that volumes are picking up and they did. And just to give you an idea we added several hundred thousand tons of products which we shipped this year, which of course is driving also our cost base, our OpEx base, our variable costs which are residing in logistic and warehouse costs. So we have as I said several hundred thousand tonnes which translates into tens of thousands of additional trucks which we are shipping. And that's also explaining a little bit the impact you see on the OpEx side. And when we try to solve the situation from a price side standpoint of view, you see our sales and combined with the volumes we are shipping and creating -- and under the environment of declining selling prices, you could see that volumes actually were offsetting the declining average selling prices of our products. At the same time, on our gross profit side, we kept the gross profit stable because of good margin management. And of course, if you have a decline in chemical selling prices, your gross profit margin in percentage of sales goes up. And as I said, we have now 25% for the whole group which is I would say quite a decent and good level. Now, when it comes to the margin management, of course profit per unit this is where the uncertainty in the whole equation is. So we see volumes going up and the gross profit per unit is slightly under pressure. And that is leading to the result which you have seen. And this is again something that we're not happy about it, but we also need to recognize that there is currently a fierce market out there with a strong fluctuating prices on key materials which we are selling like caustic soda or like petrochemicals. So that's a little bit trying to explain the moving parts of the decretion between volume and sales margins, gross profit per unit and selling prices.
Suhasini Varanasi: Thank you.
Operator: Ladies and gentlemen, that was the last question. I would now like to turn the conference back over to Mr. Thomas Altmann for closing remarks.
Thomas Altmann: Thank you, Maura. This brings us to the end of the conference call. In case of further questions, please do not hesitate to reach out to the IR team. Our full year results will be published on March 12, 2025. Ladies and gentlemen, thank you very much for joining us today. Have a good day and goodbye.
Operator: Ladies and gentlemen, the conference is now over. Thank you for choosing Chorus Call and thank you for participating in the conference. You may now disconnect your lines. Goodbye.